Operator: Good afternoon, ladies and gentlemen, and welcome to the Vacasa First Quarter 2022 Earnings Conference Call. [Operator Instructions]. And now at this time, I'll turn things over to Mr. Ryan Domyancic, Investor Relations. Please go ahead.
Ryan Domyancic: Good afternoon, everyone, and thanks for joining us today for Vacasa's First Quarter 2022 Earnings Call. I'm pleased to be joined today by CEO, Matt Roberts; and CFO, Jamie Cohen.  Before we begin, let me cover a few administrative details. This call contains information that speaks only as of today's live broadcast, and redistribution of this broadcast is prohibited. We have posted a shareholder letter and press release on the IR section of our website at investors.vacasa.com that will be referenced by our speakers.  Comments made during this conference call and in our shareholder letter and press release may contain statements that are commonly referred to as forward-looking statements. Such statements include those about future expectations, beliefs, plans, projections, strategies, targets, estimates, objectives, events, conditions and financial performance. We caution you that various factors could cause actual results to differ materially from those anticipated. For additional information concerning these risks and uncertainties, please read the forward-looking statements section in the press release and shareholder letter we issued earlier today and the forward-looking statements and Risk Factors section in our filings with the SEC.  During this call, we will discuss certain non-GAAP financial measures. Information regarding our non-GAAP financial measures and results, including a reconciliation of non-GAAP results to the most directly comparable GAAP financial measures, may be found in our press release and shareholder letter. These non-GAAP measures should be considered in addition to our GAAP results and are not intended to be a substitute for our GAAP results.  And now I'd like to hand the call over to Matt Roberts. Matt?
Matthew Roberts: Good afternoon, everyone, and thank you for joining us. We wrapped up another strong quarter at Vacasa, facilitating hundreds of thousands of reservations and generating our valued homeowners hundreds of millions of dollars in rental income. The team is executing against our goal of reinventing the vacation rental industry by leveraging proprietary purpose-built technology that improves all aspects of the vacation rental experience for guests, homeowners, our internal team and our channel partners.  There has been an undeniable shift in traveler preferences towards alternative accommodations over the past decade, which has only accelerated in recent years. The supply of available vacation rental nights is constrained relative to demand. As the only scaled vacation rental management platform in North America, we are strategically positioned to create and distribute the largest supply of available nights to travelers through our own channels and distribution partners.  We are providing critical incremental capacity to the alternative accommodations ecosystem by offering second homeowners a full-service, end-to-end property management solution that makes it simple to turn their second home into a vacation rental home in as little as a week. Our scale allows us to invest in creating truly differentiated technology solutions that are designed to provide an exceptional experience for homeowners and guests and drive efficiencies throughout our business. Our business model continues to prove its strength, generating over $2 billion of gross bookings over the past 12 months, and we have an enormous opportunity ahead of us, managing less than 1% of the more than 5 million vacation homes in the United States.  As we approach our peak season, which is the summer months where we typically see the strongest occupancy, we remain confident in our outlook and are reiterating our revenue and adjusted EBITDA expectations for full year 2022. Jamie will talk through our detailed financial results and outlook in a few minutes.  Adding homes to our platform serves as the foundation of our growth and powers our flywheel. Incremental homes in our platform drive revenue growth as more homes result in more available nights that we can sell. It also accelerates our profitability as greater density in a particular market results in higher margins. And from those higher margins, we can then allocate more spend towards developing technology-enabled tools and products, which help drive further efficiencies in our business or create a better experience for our homeowners and guests. We can also invest further in sales and marketing, which helps us bring more homes to our platform. Over the long term, all our stakeholders will benefit from our increasing scale, including homeowners, guests and shareholders.  We use 2 complementary playbooks to add supply to our platform: an individual and portfolio approach. The individual approach, which accounts for the vast majority of our additions, is a direct sales model where predominantly local sales representatives sign up individual homeowners. And the portfolio approach is where we buy local vacation rental managers, bringing on dozens of homes at once.  The individual approach performed extremely well during the first quarter. Gross home additions from the individual approach were over 2.5x higher compared to the first quarter of last year as the hundreds of sales representatives we hired in 2021 follow a predictable tenure-based productivity ramp. In addition, new senior sales leadership brought on within the past year have refreshed crucial aspects of the sales process, including the training, incentive programs, performance tracking and reporting and go-to-market approach. As a result, we've seen productivity improvements across our 10-year classes and a steepening of the productivity curve as sales representatives reached higher productivity levels faster. With the individual approach growth engine humming, we are focused on hiring additional sales representatives throughout the rest of the year and are already pacing ahead of our aggressive hiring goals.  Complementing the individual approach is the portfolio approach, which we strategically use to enter new markets or accelerate density in existing markets. During the first quarter, we welcomed 7 new portfolios onto our platform. Since 2014, we have executed our portfolio addition playbook more than 200 times, significantly more than anyone else in the industry. We draw on that deep experience when evaluating and underwriting portfolios to determine their value.  We are committed to remaining disciplined in our approach to evaluating portfolios. If a certain portfolio makes strategic and financial sense, we'll move forward. And if not, we will pass, as we chose to in certain cases this quarter. Overall, we are pleased with the pace of home additions throughout the first quarter and remain on track to increase our homes under management by about 30% during 2022.  While adding new homes to our platform remains our largest growth opportunity, we are also driving growth by optimizing the existing inventory of homes on our platform. For example, we are optimizing our base for extended stay reservations. The recent shifts in the way people live, work and vacation has potentially increased demand for reservations that exceed 30 days. While this trend may not be as pronounced in our vacation rental destination markets, we are hard at work enabling extended stay reservations throughout our portfolio.  There are important considerations to take into account to optimize for extended stay reservations, including state and local regulations, legal entity structure, trust accounting requirements as well as the operational technology to support these reservations. Our proprietary yield management system and pricing algorithms give us the opportunity to tactically apply this offering in a way that generates incremental income for homeowners. We have made great progress here over the last year with more than half of our homes now enabled for extended stays, with a goal of adding substantially more throughout the balance of 2022. Now I'll turn it over to Jamie to review our first quarter financial results and guidance in detail. Jamie?
Jamie Cohen: Thanks, Matt. As we review the first quarter, unless noted otherwise, I'll be comparing our first quarter results to the first quarter of 2021, and I'll be referencing the operating expense line excluding the impact of stock-based compensation and business combination costs, which you can find outlined in both our press release and shareholder letter.  Guest demand remained strong during the quarter and demonstrates the permanence of the consumer preference shift towards vacation rentals. Nights sold reached 1.3 million in the first quarter, up 64% year-over-year, with the increase primarily driven by the addition of new properties to the platform. Gross booking value per night sold reached $367 in the first quarter, up 23% year-over-year and marking our highest first quarter level ever.  Remember, there is a strong relationship between these 2 metrics, and it's difficult to look at either in isolation. Our proprietary pricing algorithms are constantly evaluating the trade-off between price and occupancy to optimize the mix of nights sold and gross booking value per night sold with the goal of maximizing homeowner income.  Gross booking value, which is the combination of nights sold and gross booking value per night sold, reached $494 million in the first quarter, up 101% year-over-year. Revenue, which consists primarily of our commission on the rents we generate for homeowners and the fees we collect from guests, was $247 million in the first quarter, up 91% year-over-year and within our guidance range of $245 million to $255 million.  Just a quick comment on our first quarter guidance. To set the first quarter guidance ranges we shared in March, we've created a new intra-quarter flash revenue forecast using results through February and our best estimate of March. This forecast indicated we would likely end at the high end of our Q1 revenue guidance range but it didn't accurately capture certain revenue items, overstating them by about $8 million. We refined this new forecast process and feel confident this is a onetime issue.  Our business performed exceptionally well in the first quarter, and traveler demand was ahead of our underlying expectations. Further, as I will detail in a few minutes, our business has outstanding momentum, and we believe that we will have a record peak season.  Now turning to our expenses. Cost of revenue was 49% of revenue in the first quarter with year-over-year operating leverage due to the strong growth in gross booking value per night sold. Operations and support expenses grew about 90% year-over-year as we maintained slightly higher local market staffing head count, supporting our higher reservation volume during the shoulder season. Technology and development expenses were up about 100% year-over-year as we continue to invest in our engineering and product teams. These teams build products and tools that create a differentiated experience for guests and homeowners, streamline the operations of our local market team and enable our platform to scale. Sales and marketing expenses were up 125% year-over-year, with the increase largely due to our significantly larger sales force compared to a year ago and in turn, increased our homeowner-focused advertising spend to drive more leads for our larger sales force. On a sequential basis, sales and marketing expenses decreased by $9 million, consistent with our expectations outlined last quarter as we didn't run another large-scale brand advertising campaign. General and administrative expenses were up about 30% year-over-year, largely due to hiring for our growing and now publicly traded business. On a sequential basis, general and administrative expenses were relatively unchanged.  Adjusted EBITDA was negative $22 million for the first quarter, within our guidance range of negative $25 million to negative $20 million. For the 12 months ending March 31, 2022, our operating cash flow was $52 million, and we had capital expenditures of $16 million.  Our business continues to fund not only its day-to-day operations but our discretionary investments in technology and development and sales and marketing. We do draw cash from the balance sheet to fund our portfolio program, which we aim to deploy in a disciplined and high ROI manner. We remain well capitalized with $634 million of cash and cash equivalents and restricted cash as of the end of the first quarter. We also had $325 million in funds payable to homeowners.  We continue to make high ROI growth investments into an enormous market opportunity. During the first quarter, we spent over $70 million on sales and marketing and technology and development, excluding stock-based compensation. The majority of the expenses in these lines are discretionary, focused on initiatives that drive growth, scalability and efficiency within our business. We are continuing to invest aggressively behind our massive market opportunity but remain focused on balancing growth with profitability and are targeting positive adjusted EBITDA for full year 2023 as we outlined last quarter.  Turning to guidance. We expect revenue to be in the range of $280 million to $290 million for the second quarter and continue to expect revenue to be in the range of $1.125 billion to $1.175 billion for the full year. For additional context, relative to our expectations, second quarter bookings are pacing similar to last year.  Our annual guidance continues to assume that the combination of gross booking value per night sold and occupancy takes a slight step back from the record levels reached in 2021 but remains above pre-pandemic levels, with this trend being most pronounced in the second half of 2022. We expect adjusted EBITDA to be in the range of negative $20 million to negative $15 million for the second quarter and continue to expect adjusted EBITDA to be in the range of negative $21 million to negative $14 million for the full year. On the expense side, we will continue to invest behind the strong momentum we are seeing in the individual approach and as Matt alluded to, are tracking ahead of our hiring plans.  With that, Matt and I will take your questions. Operator, please open up the call.
Operator: [Operator Instructions]. We go first this afternoon to Doug Anmuth at JPMorgan.
Douglas Anmuth: Jamie, I was just hoping if you could give a little more color on the forecasting issue in 1Q. I know you were within the range, but I was hoping you could just add a little bit more on what happened there and just I guess why -- how that's solved. And what gives you confidence it won't show up again?  And then secondly, just also on GBV per night. Maybe Matt, just hoping you could talk about sustainability, how you're thinking about that going forward. A lot of strong summer travel demand, of course, but macro concerns as well.
Jamie Cohen: Yes. I'll try to tackle both of them, and Matt, feel free to jump in as well. So on your first question with regard to the forecast, although -- revenue was really strong, driven by a 64% increase in nights sold and 23% increase in GBV per night sold. So we're seeing great momentum in the business.  We put this new intra-quarter forecast tool to give us more vision into the Q1 guide because we reported our earnings so late in the quarter, right? We only had about 14, 15 days left in the month, which is pretty unusual. So unfortunately, with this new process, there was just a few issues that led to us overstating that revenue guidance by about $8 million.  But we have resolved those issues fully. We feel very confident in understanding the root cause of them. And you can see that, one, the intra-quarter guide -- or sorry, this intra-quarter flash forecast was not used to set the full year guidance. So you see that we're reiterating the full year guidance and feel really confident about Q2 and full year numbers.  And as I mentioned earlier when our -- when we gave the preamble, our Q2 bookings relative to that $280 million to $290 million guide are pacing the same as where we were last year relative to where we ended up for Q2. So feeling strong about the guidance that we're putting out. But ultimately, really wanted to just call this out because the underlying momentum and strength of the business is very strong, and we just want to make sure that, that point was understood and not confused by this unfortunate error.  On your second question, GBV per night sold sustainability, I'll point out that in our guidance, we've mentioned that we're assuming that the combination of gross booking value per night sold and occupancy do take a step back from those record levels that we saw primarily in peak season, Q3, Q4 of last year. So that's how we're assuming. We'll obviously continue to monitor and see.  But also, just to remind that there's always a trade-off between these 2 metrics, right? So our teams are constantly looking to optimize for overall revenue and homeowner income by balancing the GBV per night sold and occupancy overall. So there will always be some puts and takes with those metrics.
Operator: We go next now to Bernie McTernan at Needham & Company.
Bernard McTernan: Great. Maybe just to start, you guys mentioned that the industry -- in your shareholder letter, the industry remains somewhat supply constrained. Vrbo mentioned that on the Expedia call as well, too. But then I just wanted to try to square that with some of the commentary in your release and the guidance about how you expect, I think, gross bookings per home to take a step back a little bit, albeit off record levels. But just given the supply constraints in the industry, just wondering how those 2 fit together.
Jamie Cohen: Sure. Yes, I can go ahead and take it. So I think that overall, the industry is supply constrained. I think last year, we just saw an overwhelming amount of consumer demand that really filled in the calendar to its peak. And we just -- we don't want to count on those record levels of demand in the peak season.  But I will say we are continuing to see strong momentum, as you saw from our Q1 results and as you've seen from our Q2 guide. So I wouldn't say that we've seen a massive softening. But just given how record high those levels were, we're guiding a bit more cautiously there.
Bernard McTernan: Understood. And since your last earnings call, the housing market has become, I would say, a bit more uncertain in the face of rising interest rates. I know that you still feel comfortable about bringing on the 30% supply. But just any thoughts in terms of what a rising rate environment, consumer inflation environment, what all that means for you guys bringing on supply?
Matthew Roberts: Sure. I'll take that one. So we remain confident that we'll grow the supply of properties on our platform by that 30% that we mentioned. Interesting that the #1 cause of any kind of attrition for us is homes sold or selling. So to the extent that, that actually slows down, that pace of play on that, that's actually more of a net feature than a bug for us.  In general, we become even more important for people purchasing a second home or a vacation home because of the income that we generate. So overall, we feel and remain very confident in that 30% growth year-over-year. And I think on the margin, interest rates increasing relative to the pace of play of homes sold in the vacation market is probably a feature, as I mentioned.
Operator: We go next now to Mike Grondahl at Northland Securities.
Michael Grondahl: Roughly, how many sales reps do you have today? And how many more are you hiring? Kind of what's your ultimate goal at year-end?
Matthew Roberts: Jamie, you want you take that one or...
Jamie Cohen: Sure. Yes, I can take that. So we mentioned that we doubled our -- more than doubled our sales reps last year in 2021 and added about 200. So we're really pleased with our recent hiring. We're keeping -- we're tracking ahead of our net new hire expectations for 2022. And this isn't just the absolute number of people hired but also just that we're continuing to see the people we hired in 2021 become more tenured and follow that really predictable curve.  So we've also made some pretty amazing leadership additions that are really making a big impact on the ability for our new hires to ramp up their productivity through training and overall kind of rehauling some parts of the program. So yes, we will -- we'll be aggressive on hiring to the extent that it makes sense, and we look at this granularly at the market level. I don't think we'll be adding 200 like we did last year, but we will continue to hire a lot.
Matthew Roberts: Yes. I mean the only thing I would add is that with a super high LTV to CAC, 4 to 5x LTV to CAC on our individual channel, the sales team pretty much hasn't opened to hire any salespeople. The ROI on any given sales -- new salesperson is super high. So that is really just being balanced with where it makes sense to add people. As Jamie mentioned, it's very much a market-by-market, city-by-city basis decision that the sales leadership team needs to make, but the economics are super compelling for it.
Michael Grondahl: Got it. And then maybe just quick, any markets that really overperformed? And then maybe a couple of markets that you described as up and coming that maybe in a year or 2, they're going to -- they'll be much more critical for you.
Matthew Roberts: Yes. The nice thing about being a national player and a scaled player in over 400 destinations is that we'll have a variety of performance levels, but the sum of the parts is really doing great. Well, I would say though, almost every market is just -- is benefiting from this market shift -- or this preference shift from consumers to vacation rentals. There are a number of up-and-coming markets for sure, but the overall picture is just underneath the umbrella of a consumer preference shift towards vacation rentals.
Operator: We go next now to Andrew Boone at JMP Securities.
Andrew Boone: Two please. Just to start out with, just given the overall macro concerns that are going around in the market right now, Matt, can you just talk about how the business would perform in a recession environment? Understood travel is discretionary, but more strategically, how would you think about the business should there be a downtick in demand?  And then secondly, you guys talked about some nice product update last quarter. I think 40% of homeowners were using the homeowner app. There's also the smart home rollout. Can you guys just provide an update on those 2 things?
Matthew Roberts: Sure. Well, why don't we start with just the macroeconomic environment and how that -- our belief as to how that will impact vacation rentals. Obviously, we have inflation that's in the news all the time now. And so specifically on inflation, there's talk about that because we often get asked about that.  First, we are a national player, so -- as I mentioned. So consumer on the East Coast decides not to fly down to Florida for summer vacation, no problem. They can trade down to take a house that's just a few hours away. Vacation homes in general are a lower cost vacation option. So think about cooking in a vacation home rather than taking the family out to eat.  And then I'd also just point out that the breadth of our options across all of our destinations, we really do have a value to luxury selection. So we have these homes across a variety of price points to accommodate a wider range of consumer preferences. And we're not seeing the inflation -- the current inflation environment impact our bookings and the strength as we head into the summer season here. So we remain very confident that the consumer preference and coupled with the decision for the consumers to spend more money on -- maybe less on things versus experiences is really supportive of our business.  And as far as the tech update, we purposely on this one just decided to give you a break 1 quarter and to refresh an overall view on our technology next quarter. We'll bundle up a few different updates for you at that time, including -- we'll refresh you, given the recent time that goes by, on the 2 items that you mentioned. Every single day, we roll out a ton of new features and enhancements to existing products, and then we're working on more larger projects behind the scenes, too. So we'll update you on that in the next quarter.
Operator: And we'll go next now to Justin Patterson at KeyBanc.
Justin Patterson: Great. I'll shift away from macro back to product. So first, Matt, you talked about just the $1 billion in trailing 12-month rental income for owners. Given category awareness, given just the income you're generating toward property owners, how has the funnel of portfolio opportunities you're seeing today changed versus, say, 1, 2 years ago? And then also, in the prepared remarks, you had alluded to the extended stay opportunity. Could you talk about just the steps needed to bring something like that to market and how you think about incrementality?
Matthew Roberts: Sure. On the portfolio side of the equation -- remember, the portfolio is a minority of our additions. The vast majority is our individual. And as I mentioned, that's really humming, really performing well. On the portfolio, it fills that strategic need to enter new markets or build density faster in any given market, which increases our contribution margin.  As far as the industry being more attractive and having more people looking to be maybe competitive on that portfolio side, it's really actually not what we're experiencing at any significant amount. Of course, there's going to be some people that look to come in and purchase property managers as more discrete assets. We look at it more as a part of an overall strategy and how it can add to our overall platform, and that's the evaluation that we perform.  And we're just really good at understanding what we should pay for something and if it's more than what we think we should pay, we just pass. Others might not be as disciplined in that regard or have different objectives. And that's actually been the case and it will continue to be the case for us. But there's still thousands, I mean thousands of property managers that meet our criteria, that fit strategically, that we've been building relationships with, often for years, that we feel confident will be good additions to our business.
Justin Patterson: Great. And extended stay?
Matthew Roberts: Great. I knew there was a second part. Sorry about that. Thanks, Justin. So from an extended stay perspective, we mentioned it because as a scaled platform business, we really have this unique opportunity to grow the business by obviously adding properties. We've talked about that. We talked about the strength in our sales that we're experiencing. But we also can optimize the existing base of homes on our platform to drive growth as well. And I pointed out in the prepared remarks that the extended stay is just an example of how we can optimize the base to take advantage of trends that may exist or emerge for our homeowners.  Our objective is to make owners the most amount of money possible. And in order to do that, you need to be able to take as much volume of demand for each homeowner as possible. Some of that demand is potentially going to be in the form of these extended stay reservations. So this is just about us doing our job, which is optimize our base in order to accept those reservations in all markets where it's possible.
Jamie Cohen: If I may just add. You asked specifically about incrementality. And that's exactly part of the rollout, right, is to figure out exactly how we price to drive incremental homeowner income through this program and not cannibalize the existing income.
Operator: [Operator Instructions]. We go next now to Jed Kelly at Oppenheimer.
Jed Kelly: This is Jed. Just a couple of questions. I think in your shareholder letter, you said you have 35,000 homes. I think in the fourth quarter shareholder letter, it was 37,000. So can you talk about anything behind that?  And then can you kind of provide us an update on how your fall bookings are trending against tougher '21 comps? We've talked to some people in the industry. Kind of the indication is with people back to work and sort of how kids are back in school, it seems that the shoulder season bookings are coming in a little bit lighter. So any update on that?
Matthew Roberts: Yes. So the first one, Jed, the boilerplate on About Vacasa at the bottom is just that, and really just meant to -- it says more than 35 -- or 35,000-plus properties. And the actual number at the end of the year was, as we discussed, 37,000. And we are saying that we're going to end at 30% higher than that at the end of this year as well. So that's just a boilerplate, over 35,000 versus -- the actual number at the end of year was 37,000, which is over 35,000. And as far as -- and Jamie, do you want to do the other one?
Jamie Cohen: Yes, I can take the bookings. So I'll point out our peak season bookings are pacing extremely well. We're looking really strong there. As we look into Q4, it's obviously much further out so we don't have as much line of sight there. But in terms of what we see right now, continuing to see strength. We haven't seen a slowdown there.
Jed Kelly: Great. And then just as a follow-up, with -- I guess you could argue that the last 2 years have been robust. And with your portfolio approach, how are valuations trending? Are you seeing some larger owners getting maybe like a little skittish and being like this might be the time to sell because it's peak and we'd have potentially a recession. Can you just talk about the valuations and how they're trending in your portfolio approach?
Matthew Roberts: Sure. Well, everyone is a little bit different, as you can imagine, because each portfolio has its own unique characteristics and fits a specific strategic need for the company or desired fit for the company. The relationships that we build over time with property managers as part of our portfolio approach is really important, and we get to understand what is their objectives, what are they trying to accomplish, how much longer do they want to do it. A lot of these are family businesses or small businesses. And the reasons for them to decide to sell or not sell, big variety of reasons there. Some folks may say, "Look, this is the perfect time." Some people will say, "Well, no, I want to hold on for a little bit longer." Some folks think that their daughter might take over the business and then that doesn't pan out. I'm trying to just paint a picture of there's no one single answer for where the motivations are for these companies.  But we are really good, given the fact that we've done it 200 times, and that's probably 10x as much as anybody else in the industry, building those relationships, understanding the needs and desires of the owners and how it fits with Vacasa. And we provide a great fit for many, many owners that are out there. So we remain very, very bullish on this as 1 of our 2 playbooks. But just a reminder, the vast majority of our additions is through this individual approach.
Operator: [Operator Instructions]. And Mr. Roberts, it appears we have no further questions. I'll turn the conference back to you, sir, for any closing comments.
Matthew Roberts: Okay. Well, thank you, everyone, for joining us on today's call. And as you can see, we're off to a really great start to 2022. And as we prepare for our peak summer season, I just want to take a minute and thank all of our employees across the organization that serve our tens of thousands of homeowners and millions of guests day in and day out. I also would love to thank our homeowners for trusting us with their valuable asset and generating the most amount of income that we can for them. And we look forward to catching up with you again next quarter.
Operator: Thank you, Mr. Roberts. Ladies and gentlemen, that will conclude today's Vacasa First Quarter 2022 Earnings Conference Call. We'd like to thank you all so much for joining us and wish you all a great evening. Goodbye.